Operator: Good morning, and welcome to the Fannie Mae First Quarter 2022 Financial Results Conference Call. At this time, I will now turn it over to your host, Pete Bakel, Fannie Mae's Director of External Communications.
Pete Bakel: Hello, and thank you all for joining today's conference call to discuss Fannie Mae's first quarter 2022 financial results. Please note, this call may include forward-looking statements, including statements about Fannie Mae's expectations related to economic and housing market conditions, their impact on loan performance, and the factors that will affect them; the company's business plans and their impact; and the company's financial results. Future events may turn out to be very different from these statements. The Risk Factors and Forward-looking Statements sections in the company's first quarter 2022 Form 10-Q, filed today, and in its 2021 Form 10-K, filed February 15th, describe factors that may lead to different results. We ask that you do not record this call for public broadcast, and that you do not publish any full transcript. I'd now like to turn the call over to Fannie Mae President and Interim Chief Executive Officer, David C. Benson; and Fannie Mae Chief Financial Officer, Chryssa C. Halley.
David Benson: Welcome, and thank you for joining us as we share our 2022 first quarter financial results. I'll provide opening comments, and then our Chief Financial Officer, Chryssa Halley will cover our first quarter results in more depth. First, let me say that I'm very pleased to join this call for the first time in my role as Fannie Mae's President and Interim CEO. I have been with the company for almost 20 years, serving in a wide range of positions. Since 2018, I've been President, leading our single-family and multifamily businesses, as well as our corporate functions. Prior to that, I served as our Chief Financial Officer, as head of our Capital Markets team, and, before that, as Treasurer. Across all of these roles, I've always been impressed by Fannie Mae's depth of talent, our resiliency, and our ability to manage through change. I want to thank our now-former CEO, Hugh Frater for his outstanding leadership and service to the company. Hugh left the company stronger than when he arrived. He was a champion for our housing mission and challenged us to always put the needs of renters and homeowners first. I believe our mission is more important than ever, given today's housing market and the conditions that prevailed in the first quarter of 2022. First, Russia's invasion of Ukraine injected additional disruption into the world economy and financial markets, and it continues to do so. Here in the United States, GDP contracted at an annualized pace of 1.4% in the first quarter, down from positive growth of 6.9% in the fourth quarter of 2021. At the same time, inflation rose to the highest rate in 40 years. The Federal Reserve raised interest rates for the first time since 2018. Mortgage rates increased by 1.56 percentage points during the first quarter, the fastest increase since 1994. And recently, we've seen rates over 5%.  At the same time, home prices continued to rise, growing by 4.6% in the first quarter of 2022. This follows 19.1% growth in 2021 and 10.4% in 2020. For comparison, the average annual growth rate from 2015 through 2019 was 5%. In fact, we believe interest rate increases and consumers' expectations for more hikes down the road pulled demand forward against a limited supply, putting even more upward pressure on prices. In addition, the rise in mortgage rates likely constrained supply even further, making some existing homeowners reluctant to sell their home and shop for a new home with a higher price tag and a more expensive mortgage. Together, these factors put increased pressure on affordability, for both renters and homebuyers. Unfortunately for homebuyers, especially those buyers looking for their first home, we don't see any near-term relief from this affordability squeeze. Now, against this backdrop, Fannie Mae continued to perform solidly in the first quarter. We reported $4.4 billion in net income for the quarter. And our net worth rose to $51.8 billion as of March 31st, which bolsters our financial strength by improving our ability to absorb losses in any given quarter. Overall, we supplied $255 billion in liquidity to the single-family and multifamily mortgage markets in the first quarter. This supported $104 billion of single-family home purchase acquisitions, of which nearly 50% were for first-time homebuyers. We also financed 136,000 units of rental housing, a significant majority of which were affordable to families earning at or below 120% of Area Median Income. Looking Ahead, we expect slower economic growth this year, and we along with others see increasing odds of a modest recession in 2023. We believe this will have an impact on housing. Over the next two years, we expect home sales, home prices, and mortgage origination volumes to cool. But importantly, we do not expect a housing downturn of the severity or duration that we saw in 2008. There are important differences: mortgage credit quality is stronger; residential real estate, and the financial system in general, is less leveraged; and mortgage servicers are much better equipped to help struggling homeowners. We also believe that a mild downturn will bring housing demand more in alignment with supply, slow house price appreciation, and modestly improve affordability. Of course, our outlook is affected by factors that are subject to a fair amount of uncertainty, including the pace of Fed tightening, continuing inflation, supply chain and labor challenges, COVID, and the impact of Russia's war against Ukraine. As we move through 2022, Fannie Mae will continue focusing on a few critical priorities. We will focus on continuing to be a steady, reliable source of affordable, sustainable mortgage financing for renters and homeowners. We will focus on managing our risks careful. We will focus on continuing to develop and diversify our talent at all levels of the organization. And we will continue to take a mission-first approach, knocking down barriers for renters and homeowners. We agree with FHFA's Acting Director Thompson that safety and soundness, and access and affordability, can and must complement each other. And we're putting this into practice. For example, we recently announced a new pricing incentive for multifamily property owners who accept HUD Housing Choice Vouchers. These vouchers are a vital source of housing support for very low-income families, seniors, historically underserved populations, and people with disabilities. Our goal is to make the rental housing market more inclusive and equitable by expanding the availability of multifamily units that accept these vouchers. Another example: We continue to drive for greater lender adoption of the innovation we introduced last year that makes it easier to consider timely rental payments as part of the underwriting decision as a renter seeks to become a first-time homebuyer. And a third example: We recently announced that we will require mortgage servicers to suspend foreclosure activities if they are notified that a borrower has applied for assistance under Treasury's Homeowner Assistance Fund, a fund that is designed to help struggling homeowners. These are just a few examples of how we're putting renters and homeowners first. Expect to see more in the months ahead. Now with that, let me hand off to Chryssa.
Chryssa Halley: Thank you, Dave. Our first quarter 2022 financial results remained strong. As Dave mentioned, we reported $4.4 billion of net income in the first quarter. This is compared to $5.2 billion in the fourth quarter of 2021 and $5 billion in the first quarter of 2021. The largest contributors to the changes in our results in the first quarter of this year compared to the fourth quarter of 2021 were credit-related expense, investment losses, and fair value gains. We recognized $201 million of credit-related expense in the first quarter, a shift from $912 million of credit-related income in the fourth quarter of 2021. Though the market experienced 4.6% home price growth in the first quarter, this did not drive significant credit-related income, as our allowance previously took into account expected home price growth in 2022. Rather, we recorded a credit-related expense, driven by a net increase in our allowance for previously modified loans that we account for as troubled debt restructurings, or TDRs. These loans are sensitive to interest rate changes. As rates rose during the quarter, the allowance on this legacy population of modified loans increased. This was partially offset by some loans in this population, receiving loss mitigation arrangements during the quarter. As a result of our adoption of new accounting guidance, discontinuing TDR accounting, we removed these loans from the legacy TDR population, which reduced our allowance on them. We expect changes in actual and projected interest rates will have less impact on our credit-related income or expense in future periods, as our population of loans accounted for as TDRs decreases. We also recorded investment losses of $102 million in the first quarter of this year, relative to investment gains of $418 million in the fourth quarter of last year. The shift from investment gains to losses was driven primarily by the absence of loan sales in the first quarter of 2022. These losses were partially offset by fair value gains of $480 million, compared to fair value losses of $166 million the previous quarter. Fair value gains in the first quarter of 2022 were driven primarily by increases in the fair value of commitments to sell mortgage-related securities, as prices decreased during the commitment period, as well as gains in the fair value of long-term debt of consolidated trusts held at fair value, both due to rising interest rates and widening of the secondary spread. Fair value gains were partially offset by declines in the fair value of fixed-rate trading securities. Fair value hedge accounting, which the company implemented in January 2021, continues to be an effective tool in addressing volatility of interest rate changes. In addition, net interest income was $7.4 billion in the first quarter of 2022, down slightly from the fourth quarter of 2021. As expected, we saw reduced amortization income driven by a decrease in prepayment volumes due to rising interest rates. The rising rate environment also drove lower single-family acquisition volumes quarter over quarter and a continued increase in the percentage of purchase loans, as fewer people refinanced. We acquired $239 billion of single-family loans in the first quarter of 2022, with purchase acquisitions at 43%, compared to $285 billion of single-family loans in the fourth quarter of 2021, with purchase acquisitions at 38%. As the share of home purchase acquisitions increased, we saw a natural increase in the percentage of our single-family loan acquisitions with loan-to-value ratios over 80%, to 24% in the first quarter of 2022, from 21% in the fourth quarter of 2021. We also saw a decline in acquisition FICO scores, which averaged 748 in the first quarter of 2022, compared with 751 in the fourth quarter of 2021. As a result, average charged guaranty fees on acquisitions, net of TCCA, increased 1.8 basis points to 48.9 basis points. As Dave mentioned, we, along with others, forecast a modest recession to occur after this year, most likely in the second half of 2023. While we expect a period of modest economic contraction to impact the housing market, mortgage credit quality is strong. As of March 31st, the loans in our single-family book of business had an average FICO score of 753 and a weighted average mark-to-market loan-to-value ratio of 53%. Our single-family serious delinquency, or SDQ, rate continued to decline and was 1.01% as of the end of the first quarter. In addition, Fannie Mae entered into six credit risk transfer transactions during the quarter, referencing $218 billion in unpaid principal balance at the time we entered the transactions. We acquired $16 billion of multifamily loans in Q1, leaving $62 billion remaining under our $78 billion multifamily volume cap for 2022. The credit profile of our Multifamily book of business also remains strong, with a weighted average original loan-to-value ratio of 65% and a weighted average debt service coverage ratio of 2.1. Our Multifamily SDQ rate declined from 0.42% as of December 31st, 2021 to 0.38% as of March 31st, 2022. Now, as Dave noted, our net worth increased in the first quarter of 2022 to $51.8 billion. Increases in our net worth are helpful because they improve our ability to absorb losses in any given quarter. By contrast, we had an $82 billion deficit in available adjusted total capital as of the end of the first quarter. It's important to note that the calculation of this capital measurement under the enterprise regulatory capital framework, which we began reporting in our 10-Q this quarter, excludes the stated value of our senior preferred stock and deferred tax assets, both of which are included in the calculation of our net worth. Because of this deficit, as of March 31st, 2022, we had a $272 billion shortfall to the amount of capital needed to be fully capitalized. I'd like to turn for a moment to our outlook for mortgage originations in 2022 and some thoughts on net income. We have revised downward our 2022 single-family market originations to $2.8 trillion, with 68% of that activity coming from purchase originations. We continue to expect multifamily market originations of $475 billion, driven by strong rental demand and the elevated level of construction completions expected this year, which we anticipate will result in a need for multifamily borrowers to finance completed properties to pay off their construction loans. Robust competition for multifamily financing is anticipated throughout 2022, which, in combination with higher interest rates and wider MBS spreads, may put pressure on our business volumes and guaranty fees. Finally, we expect lower amortization income in 2022 compared with 2021, driven by reduced refinancing activity. In addition, we expect a shift from significant credit-related income in 2021 to modest credit-related expense in 2022. We expect those factors to result in lower net income in 2022 compared with 2021. As a reminder, we published a financial supplement along with today's filing, which provides useful insights into our Multifamily and Single-Family books of business. With that, I'll turn it back over to you, Dave.
David Benson: Thank you again for joining us. We look forward to speaking with you next quarter.
End of Q&A: Thank you, ladies and gentlemen. That concludes today's call. You may disconnect.